Robyn Grew: Good morning, everyone. Thank you for joining us today. I’m Robyn Grew, the CEO of Man Group, and I’m joined by our CFO, Antoine Forterre. Pleased to present my first results. I’ll start off with an overview of the year. And then Antoine will take you through the numbers in more detail. After that, I’ll provide an update on our priorities going forward. And we’ll finish with questions as is tradition. So let’s go through this. I’ve been at Man Group now for nearly 15 years and for most of that as part of the senior management team. I’d like to begin by reflecting on the quality of this firm. Man Group has developed into a world-leading technologically brilliant, active investment manager with a collegiate culture and significant opportunity to grow. Following my appointment, I’ve spent a lot of time with my executive team and with the Board about how do we deliver the next chapter of growth. And in doing so, I’ve been conscious not to overlook the many strengths of our business today. Over the past few years, we’ve built a high-performing, incredibly resilient firm. Our investment expertise and capabilities powered by our advanced operating platform are helping us to solve our clients’ most complex problems. The business is in great shape. And I have every confidence in our ability to continue on this exciting trajectory. But more on that later. Turning to 2023, it was a year that defined market expectations, not just once, but on multiple occasions. The world grappled with several macroeconomic and geopolitical pressures, while the level and path of interest rates were firmly on investors’ minds. Against that backdrop, I am pleased to report a solid set of results for the firm. We ended the year with $167.5 billion of assets under management. This marks a new high for the firm and a 17% increase compared with December 2022. It was a difficult period for most of the sector. The client-led growth though in our business remains strong. We recorded total net inflows of $3 billion during the year across both alternative and long-only strategies. This highlights the continuing demand for the range of differentiated strategies and solutions that we offer. On a relative basis, net flows were 4.9% ahead of the industry, reflecting the true value of our client-centric distribution model and the quality, quite frankly, of our long-standing relationships with allocators around the world. We also delivered positive investment performance across all product categories with overall outperformance of 1.6%. This is not to say that it was all plain sailing. And 2023 proved to be a testing year for trend-following strategies. This was for two reasons. First, March’s SVB crisis, which was an idiosyncratic event that suddenly reversed strong prevailing market trends. And second, November brought an abrupt change to the market narrative about when central banks would end their hiking cycle. In that context, performance in our flagship trend following strategies was good relative to peers and reasonable overall with AHL Alpha and AHL Evolution ending the period in positive territory. Both programs have also fed well so far this year. Meanwhile, core management fee earnings of $0.184 per share were resilient, demonstrating the diversification of our total return and long-only strategies add to our business. Total core earnings per share reflect lower revenue from performance fees in the year. I am pleased to report that the Board has declared a final dividend of $0.107 per share, which together with the interim dividend of $0.056 equates to a total dividend for the year at $0.163 per share, a 4% increase compared with 2022. Following the $125 million share buyback announced and executed in 2023, we are announcing the intention to repurchase an additional $50 million in shares today, demonstrating the commitment to our capital policy, balancing investments in growth and capital returns to shareholders. We are a diversified active investor. And we ended the year having generated positive investment performance of $9.7 billion for our clients. Overall investment performance from alternative strategies was 1.9%, with particularly strong returns from our discretionary strategy, Alpha Select. AHL TargetRisk gained 14.1%, once again proving its ability to navigate hard-to-forecast macro changes and adapt quickly to evolving market conditions. Our long-only strategies also performed well over the period, helped by positive beta in equity markets and delivering overall investment performance of 16.4%. On an asset-weighted basis, relative investment performance across the firm was positive during the year. Our sophisticated risk management and technology empowered platform meant that we were able to reduce positions quickly during periods of market volatility, driving outperformance of 0.8% from our alternative strategies. Our long-only strategies also outperformed by 2.8%, which is a real testament to the skill of our investment teams. I want to draw attention to the fact that the long-only highlights on the slide are presented on a relative basis. Our sterling corporate bond strategy finished the year 15% above the benchmark. As I mentioned previously, we saw strong engagement with existing and new clients across the globe in 2023. And that reflected – that was reflected in our net inflows in the year of $3 billion. This is notably strong relative to the industry, which saw average outflows of roughly 3% across comparable strategies in the year. It is one of the best signs of our strength as a business today. Our clients have confidence in our ability to manage and grow their assets, and to help them navigate the range of market conditions they’re facing. Our breadth of investment strategies, quality of institutional resources and commitment to partnering with clients to build solutions at scale are key differentiators. They have been crucial in helping us deepen existing relationships and add a number of new relationships with strategically important allocators during the past year. I’ll now pass it on to Antoine, who will take you through the numbers.
Antoine Forterre: Thank you, Robyn, and good morning, everyone. As usual, I will start with some financial highlights before covering our AUM, P&L and balance sheet. In 2023, we recorded net revenue of $1.2 billion and net management fee of $963 million, 4% higher than last year, reflecting the merits of a diversified business model. This also includes the part year effect of the acquisition of Varagon, which completed in September ‘23 and is progressing in line with our expectations. Integration has gone very smoothly and we are seeing solid interest from our clients. To provide some context, since close we held over 500 client meetings of which over 130 have included senior portfolio managers from the Varagon team. As per our original plans, we expect fundraising to materialize 12 to 18 months after our acquisition. Holding an exceptional outcome in 2022, performance fees were lower at $180 million, reflecting the testing year for trend-following strategies Robyn described earlier. We recorded $48 million in investment gains, however, showing the financial benefits of our seeding strategy. Fixed cash costs increased to $370 million in ‘23 driven by the Varagon acquisition and planned targeted investments to support growth. The compensation ratio also increased to 50%, in line with guidance in the lower performance of the year. This drove the decrease in core profit before tax to $340 million. And finally, we continue to have a strong and liquid balance sheet with net financial assets of $555 million as at the end of December and seed investments of $595 million. As Robyn mentioned, we finished the year with AUM of $167.5 billion, a new record for Man Group. This was $24.2 billion higher than last year, primarily driven by net inflows of $3 billion, positive investment performance of $9.7 billion and $10.7 billion of AUM from the acquisition of Varagon. We are pleased to see net inflows across most product categories. On the alternative side, net flows of $2.4 billion were driven by institutional solutions, traditional trend following and risk premium strategies. Our clear strength and extensive experience in this area continue to be attractive to our clients. Net flows into long-only of $0.6 billion were encouraging to see considering the market backdrop. These were driven by our discretionary liquid credit offering, which continues to grow at pace. Outflows were primarily from our systematic long-only and multi-manager categories. Investment performance of $9.7 billion was positive across all categories. Our long-only strategies performed particularly well, benefiting from strong security selection across the board. The relative weakness of the U.S. dollar also had a positive impact during the year as over 40% of our AUM is non-dollar-denominated. As a result of strong AUM growth, our run rate core net management fees increased by $170 million to almost $1.1 billion at the end of December. This continuing sustained growth materially increases the future earnings potential of our business. Run rate net management fee margin increased by 1 basis point in the year to 65 basis points. As I’ve said before many times, we did not target a specific management fee margin. We’re focused on generating profitable revenue growth across all our product categories, and consider net management fee margins and output of the underlying mix of assets we manage for our clients. Moving on to performance fees, although the episodes in March and November led to muted performance fees from more trend-following strategies, solid performance across other alternative and long-only strategies resulted in total performance fees of $180 million for the year, with all our engines contributing. We also generated gains of $48 million from seed book in ‘23. While the overall outcome is not as strong as what we delivered in the previous 2 years, we continue to have full confidence in our ability to generate meaningful performance fees. Performance fees are the economic manifestation of the alpha we generate for clients. And we have over three decades of track record in generating sustained investment performance due to our clients continue to trust us. Over the last 5 years, we generated over $400 million of performance fees on average, on an average stock of performance fee eligible AUM, which was lower than the $56.7 billion we had at the end December ‘23. $26.9 billion of AUM was at high-water mark at the end of December, with a further $21.4 billion within 5%. And we have started ‘24 well, as Robyn mentioned. As of the end of January, we had roughly $50 million of performance fees accrediting our funds due to crystallized in this calendar year. As a reminder, this number is not a forecast or a guidance, but a snapshot of the position at a point in time. The amounts that crystallize will, therefore, increase or decrease based on the performance of the underlying funds over the remainder of the year. Turning to costs. As I mentioned earlier, the increase in fixed compensation was largely driven by the Varagon acquisition and other targeted investments to support growth. Other cash costs increased by 7% primarily driven by the Varagon acquisition as well as a pickup in sterling. The strengthening of sterling against the U.S. dollar also contributed to the increase as the majority of our cost base is denominated in sterling. Variable compensation cost decreased by 24%, reflecting the decrease in performance fee revenue generated in the year. As a reminder, we guide to a compensation ratio in the range of 40% to 50%. In years like ‘23 when performance fees are lower, we expect to be at the higher end of the range. Conversely, in years like ‘22 when performance fees are higher, we expect to be at the lower end of the range. We’ve updated our fixed cash cost guidance for ‘24 to be $425 million, assuming an FX rate of 1.27, reflecting a full year of Varagon-related fixed cash costs, which account for half of the increase, some inflation and the continuing rollout of targeted investments to support growth in the business. Robyn will cover some of the areas that we are prioritizing in our strategy section later. 2023 was another period of underlying growth of our firm, with higher assets under management and growth in management fee revenue. Although the more muted portfolio performance fees impacted our total earnings, management fee earnings were resilient. At $0.184 per share, management fee EPS has grown by 90% since 2019. At the end of ‘23, we had run rate net management fees of nearly $1.1 billion and $26.9 billion of performance fee eligible AUM at high-water mark. We have significant operating leverage thanks to the strength of the platform and our investments in technology. In summary, we entered 2024 with our strongest earnings potential in recent past. Our balance sheet remains robust and liquid. At the end of December, we had $555 million of net financial assets. This is before the receipt of cash from performance fees crystallizing in December, the payment of variable compensation, the final dividend and the share buyback announced today. Our seed capital program continues to play a key role in supporting product launches and our pipeline of new ideas remained strong. We have seed investments of $595 million on balance sheet at the end of the year, having seeded 14 new strategies across our business in ‘23 with a particular focus on credit. As I mentioned before, we consider the most efficient financing available to seed investments and support growth initiatives, including using our revolving credit facility, which we extended to $800 million in December to reflect the growth in our business since the previous facility was put in place in 2019. Finally, as we have done previously, we now deduct from the financial assets the liabilities linked to the deferred payments in relation to the transactions we announced during 2023. The strength and flexibility of our balance sheet also allows us to invest in the business to support our long-term growth prospects, evaluate M&A opportunities and ultimately maximize shareholder value. Our business is highly cash generative. And this cash flow, support not only our growth investments, but also consistent capital returns starting with our progressive dividend. Including the proposed final dividend, we have returned over $300 million to shareholders in ‘23, taking the total capital return over the past 5 years to $1.8 billion, approximately 50% of our market cap today, a bit less today. For $1 of earnings as a shareholder, you get $0.28 per share, more today than in 2019. I repeat that sentence, for $1 of earnings as a shareholder you get $0.28 per share more today than in 2019. These metrics are all before the additional $50 million share buyback announced today. This consistent growing capital returns are the result of our discipline and unchanged capital policy. As a reminder, when approaching shareholder returns, the Board considers the capital required to satisfy a progressive dividend and potential strategic growth opportunities, both organic and inorganic. In the event, we have capital surplus to our requirements, we would return it to shareholders over time by work share buybacks. In practice, our dividend has grown at an annual rate of 15% since we changed our policy in 2021. In addition to our seed book, which provides optionality for organic growth, we have invested heavily over the last few years to maintain a technological edge. We completed the Varagon acquisition, displaying the same discipline that has guided us in the past. And we’re announcing today a $50 million share buyback following the last share repurchase announced in March ‘23. Our capital policy has served us well balancing growth investments with distribution to shareholders over time. It will continue to support our strategy in its next phase as Robyn will now cover in the final section of our presentation.
Robyn Grew: Thanks, Antoine, for both that and lowering the podium. So since I was appointed CEO, I’ve spent a huge amount of time with our clients all over the world, from Sydney and Seoul to San Francisco. And it’s evident that their challenges are becoming more complex. Growth trends, the credit cycle, inflation, geopolitics and their interplay on the global stage persist in their own predictability, creating challenges in both public and private markets. More than ever, investors need diversifying sources of risk-adjusted returns. They need access to liquidity and long-term strategic partners who are forward thinking and adaptable. The ability to navigate complex markets and – excuse me, our ability to navigate complexity and deliver superior performance through a range of customized solutions is one of the most exciting challenges ahead of our industry. It’s here that we see further opportunity for growth over the next few years. And we believe we’ve built a business that is extremely well placed to deliver that growth. Trying to predict where markets will be a year from now is not a straightforward task and one that most fail at. What we do know is that we are facing a period of political and economic uncertainty. And that creates market volatility, which is a great environment for active management. It is probably the best environment for active management we have seen in several years. The more dispersion there is in markets, quite frankly the more opportunity there is to generate alpha. I have no doubt that alternative managers with excellent risk management skills and a technological edge will see strong demand. And we have a competitive advantage in these areas. We are one of the largest liquid alternative managers with over $100 billion of assets in quant strategies and over 35 years of experience in generating superior returns. Last year, we continued to deliver investment performance ahead of our peers, which together with our long-term track record, reinforces our belief that our diversified range of strategies are well placed to deliver for our clients in the future. A key feature of our strategy has been to add to our capabilities, either through innovation or by moving into new market segments with talented, specialized teams. Over the past decade, we have made significant progress diversifying the firm, adding risk parity, risk premium, credit and private market strategies to name but a few. Not only does this further diversify our revenue streams, but most importantly, it maintains our relevance with clients across a range of market environments. Our sales team of over 250 people in over 15 regions around the world make a conscious effort to listen and respond to our clients. They are amongst the best in our industry and the trend of clients investing across the firm continues. At the end of December, our top 25 clients invested in more than four strategies on average with us, with roughly $800 million invested in each strategy. This is materially higher than 5 years ago, illustrating the value of providing our clients with a single point of contact who understand their unique requirements. We continue to grow our market share during the year. And that has been the case for the past 4 years now, highlighting the strength of the distribution capabilities that we have built. I mentioned earlier that our ability to deliver solutions at scale is a key differentiator. And the rate of growth in our solutions business is a real testament to that. Approximately two-thirds of our AUM is customized in some way. We now run more customized mandates than ever before and provide scalable solutions to many of our largest clients. Our offering really resonates with clients. And I have quite a good example of that. So most recently, I was talking to a CIO team who had moved from one organization to another in North America. Back in the existing their original organization, we had spent a lot of time working with them and customizing a solution for them. It has taken a number of years, but we’ve gotten to a really good outcome. This team then landed at a new allocator. And they made a call. They called us. And they called us because they realized that what we can offer is not only that our performance and our focus. But it’s about adapting and being able to find solutions for what they needed. Now in the new organization, the issues were different. They were more nuanced. But it’s a call that isn’t unique. And it’s a call we’re very happy to get. So let me just think about that in more detail. It’s these examples, quite frankly, that illustrate the value of partnership. And it’s why the average redemption rate is under 10% in this category and has been over the past 5 years. A key reason is that we’ve been successful in this area or a key reason why we’ve been successful in this area is because of our competitive advantage in technology. It is not easy to replicate that. Quants and technologies now make up nearly half of our workforce. It really is key and core to how we run our firm. It enables us to respond quickly as financial markets, and quite frankly, our clients’ needs evolve. Due to early, continuous and significant investment in our central platform, we can deliver the world’s largest institutional investors. It gives us the ability to trade a huge number of markets and execute larger volumes. It enables us to operate and grow efficiently and flexibly at speed and scale. And it enables us to deliver better outcomes for our clients and value to our shareholders. This slide illustrates how we have leveraged our strength to deliver growth over the past 5 years, a period during which our industry has had its first share of challenges. Since the end of 2018, we’ve grown our AUM by 54%, run-rate net management fees by 45%, management fee EPS by 67%. And as Antoine just mentioned, we’ve returned $1.8 billion of capital to shareholders. Today, we are a leading diversified active asset manager with significant scale in liquid alts, long-only, private credit. And it’s all underpinned by market-leading technology. I am hugely proud of the progress we have made. And my first responsibility is not to break what we’ve got. However, while we continue to invest in our strengths, we refused to rest on our laurels. Man Group has existed for well over 200 years and has achieved this by continuously evolving. And you will continue to see us innovate further to meet our client needs and sustain our growth. I am not going to outline any headline targets today. It’s not possible to do so in a meaningful way for our industry. And quite frankly, it encourages behavior that doesn’t always prioritize the best outcomes for our clients and for our shareholders. Before discussing our key priorities for the future, I want to pause and reflect on the purpose that we have as a firm. We have one single role, which is to deliver investment performance to help our clients provide greater financial security to millions of people around the world. My aim for Man Group is to be indispensable to those sophisticated investors globally. In order to achieve this, I’ve worked with my new executive committee who are highly experienced in the fields they represent in the functions that they run across the business to define our strategy. And with the Board support, we have agreed three areas of focus to drive the next phase of growth. Our priorities are to, number one, diversify our investment capabilities; secondly, to extend our reach with clients around the globe; and thirdly, to leverage our strengths in talent and technology. Each of these represent a significant and exciting opportunity for us. Our first priority, growing or adding to our existing investment capabilities, is going to be critical to our success. We see the largest opportunities across quant-equity, credit and solutions. Quant equities across both long-only and mid-frequency are particularly interesting given our estimate of the size of the addressable market. And we’re coming at this from a position of strength, considering our quant heritage, strong culture of innovation and brand credibility. While we have more than doubled the size of our systematic long-only offering, our track record and available capacity provides a strong platform for scale in this space. In addition, over the last few years, we have committed resources to mid-frequency equities, a large segment of the quant hedge fund market with significant alpha and diversification potential. Our investments in data and execution are continuing to bear fruit. And we intend to accelerate investments in this space going forward. Credit will be another area of focus. Our offering is already broad. We have both alternative and long-only credit strategies across liquid and private markets. Our discretionary long-only credit strategies have grown strongly since launch. And our high-yield and investment-grade teams, in particular, have performed exceptionally well. Meanwhile, as Antoine mentioned earlier, Varagon is progressing in line with our expectations. As the credit market continues to grow in attractiveness to the world’s largest institutions. We will aim to grow our existing capabilities and explore the potential to add new capabilities, either organically or inorganically. And finally, we’re also prioritizing adding new content to our solutions offering, acknowledging that customization and transparency are of ever-increasing importance to sophisticated allocators as I mentioned earlier. Our global distribution network is one of our key differentiators. And our second priority is to extend our reach to clients and with clients across the globe. Building our presence in markets where we are underweight relative to the size of the opportunity will be an important driver to future growth. I’ve identified the North American region, the intermediated wealth channel and accessing the large pool of insurance capital as key areas of focus. Our presence in North America has grown from 26% as of the end of 2018 to 35% today with success in institutional and wealth channels. Today, we manage money for over 25 public plans and nearly 125 institutions, and have expanded into the wealth channel by our retail partnership with American Beacon. We continue to see significant opportunity in the region considering the overall size of the market. The projected growth rate of the wealth segment makes it also a particularly attractive channel for us given that we’re able to combine our sophisticated product development capabilities with local distribution expertise to develop high-quality, high-scale product offerings. We will also continue to look at adding new relationships with local partners as we’ve done recently in Italy and Japan. As I mentioned earlier, strengthening our credit capabilities is a key initiative of the firm. And as we build our credit offering further, the opportunities in the insurance space become more exciting over the medium-term. Our final priority is to continue to invest in the core strengths of our business and apply resources strategically. Earlier this year, we announced an enhanced structure for our discretionary offering, bringing together our investment strategies and talent. It will facilitate a freer cross-pollination of ideas and make it far easier for clients to navigate and for us to deliver customized, high-quality solutions through a single nimble platform. 2023 brought a great deal of enthusiasm about the potential for technology to catalyze productivity across each and every sector. This is not a new phenomenon for us. We’ve been using AI across our business long before it was a buzzword. Our early and significant investment in technology, roughly $600 million over the past 5 years, has meant that we obviously see technology as a competitive advantage and an imperative. It offers major potential to deliver efficiencies and increase productivity. And we will continue to invest in this area to leverage the benefits of our scale and drive operating leverage in our business. We will also deploy capital organically and inorganically in-line with our strategic priorities to drive future growth. Our seed capital program continues to play a key role in supporting product launches. And M&A has been a core part of our strategy for several years. We have always adopted a consciously disciplined approach to evaluating acquisition opportunities. And even though the M&A environment around us is changing, the level of rigor and discipline we apply when it comes to assessing opportunities will not change. Continuing to build our core business and executing successfully against our three multiyear strategic priorities offers a clear value proposition with significant potential for our shareholders. We have a unique edge that comes from combining top talent and state-of-the-art technology alongside a collaborative culture that promotes diversity of thought to deliver better outcomes for clients. We will continue to invest in each of these areas to grow our competitive advantage. We have exposure to segments of the industry that are expected to benefit from increased allocations over time and believe in our ability to capture market share given our focus on continuing to be relevant to our clients. The more we build long-term partnerships, the more stable our base of AUM becomes, enabling us to deliver consistent growth in the long run. I talked about the strengths of our platform earlier and I can’t emphasize enough how much it enables scalability, flexibility and efficiency. We’ve built a business model that benefits from significant operating leverage, which supports the potential for greater profitability as we grow. The final aspect is that our business is highly cash generative, supported by disciplined capital framework that is focused on delivering value to our shareholders. I am really excited about the opportunities ahead. We have a fantastic business and we’ve built a strong foundation from which to launch the next phase of growth. I am surrounded by an incredibly talented team. And we have a phenomenal technology capability. We are at the forefront of active investing. And we will always strive to be the very best we can be. I have full confidence in our ability to continue to grow and to deliver for our clients and for our shareholders. Thank you. We are now happy to take any questions. We will start with those in the room and then move on to those who have joined us virtually. And for those of you joining using or via the WebEx link, please can you submit your questions using the Q&A functionality. I had to get that bit right. I will now take a seat.
Q - Isobel Hettrick: Good morning. It’s Isobel Hettrick from Autonomous Research. So, I have one question, please, focused on the opportunity within alternative or private credit and the Varagon acquisition. So, clearly Varagon is very focused investment currently on U.S. mid-market direct lending with an institutional investor base. So, there is opportunities clearly on the retail side. And then also Europe, Asia has been noted in the press recently as an area where a bank retrenchment is quite clear and then also infrastructure credit lending. So, I was just wondering what opportunities are you most excited about in the private credit space. And of these, which do you think would be easier for you to achieve organically through the platform Varagon gives you, or do you think you would have to go inorganically to achieve? Thank you.
Robyn Grew: Isobel, thank you for the question. It was a long question. I will do my very best to tackle a bit of it. We are very excited by the opportunity in private credit. And Varagon, as you rightly say, is a mid-market direct lender. And they are very good at that. And we expect them to continue to be very good at that. The opportunity set though is much broader than that, both in the public and the private sector. And we are seeing opportunity to grow within our own organization. We are not going to find ourselves limited or waiting for an M&A opportunity. But there is no doubt that those opportunities exist and we will assess them in the round. We will – where do I see the most interesting parts of private credit or credit, those areas which are less niche and those areas where we can scale and deliver where they add utility to the broader set of content that we have in the firm already and where we can provide access at scale for our clients to invest. Antoine, anything?
Angeliki Bairaktari: Good morning. It’s Angeliki Bairaktari from JPMorgan. Thank you for taking my questions. First one, in terms of the Varagon acquisition and private credit, what is the outlook for flows there in 2024? And how do you see that integration progressing in terms of sort of the commercial reach? I think at the time of the announcement, we had some hopes for potential cross-selling with your existing distribution networks. So, any update there would be helpful for us. And In terms of AI, you have mentioned this in the past, and you have highlighted again today that you have been using AI for several years now, whereas others are making a big deal of it today. Could we see any meaningful cost savings there over the long-term or in the asset management business model and in particular, Man Group? In the end of the day, the investments that you have to make as this technology sort of evolves are going to be offsetting any savings that you have from removing perhaps some legacy systems. And a technical question, is there a start date for the buyback? Thank you.
Robyn Grew: But I will tackle the first couple of questions and then we can go from there, how about that? So, Varagon and private credit generally, we were very thoughtful about saying that we weren’t expecting to see anything in 2024. But we are extraordinarily happy with the speed of integration and indeed the interest being shown by clients. In terms of, therefore, cross-selling, that that has been a very natural part for our sales organization to navigate. And we have – as Antoine said, we have taken, I think we have had 500 meetings in over – I think it is over 130 now with Varagon team. That’s demonstrative of those numbers of the cross-selling capability that we have in the organization. AI, let me jump to that. What do I think of that as the cost savings and our investments. We find – we are excited by generative AI. It just isn’t a new thing. This new version of it is interesting. Do we believe it has the opportunity to enable us to be faster and better at some things, co-piloting in coding, for example, yes. Do we think it’s making investment decisions anytime soon, no. So, we don’t think of it in a cost saving space. Obviously, with that’s within Man Group. We are obviously very interested as investors as the impact it’s going to have in other sectors. But from our own perspective, we see this as something that enables us to be smarter and better, more capable, quicker, more data streams, more data science that we are excited by. And the date of buyback?
Antoine Forterre: Let’s decide in the next few days and having listened to feedback we had from shareholders and analysts, it will probably take a few months to be complete. So, we expect it to take probably a few months for it to complete.
Michael Sanderson: Good morning. Michael Sanderson, Barclays. Interested that obviously you want to expand the range of strategies, you have a pretty decent seeding book ongoing at the moment. Expanding strategies can take a long time. So, is there other strategies hidden in the balance sheet in the seeding at the moment that could really bring some decent scale in the shorter term? And I guess your timing of expanding strategies, how quickly do you want us to see this coming through?
Antoine Forterre: Do you want me to take it up?
Robyn Grew: Yes.
Antoine Forterre: So, we don’t comment on specific strategies and haven’t some time. But if you look at that where the seed book is allocated, around 60% is on credit strategies, liquid credit, but not just. That includes strategies such as risk transfer, for instance. And we think that this will support the organic growth that we are focusing on the credit opportunities there. We also have a number of investments in more quant strategies across the spectrum on the long-only side, total return side. So, it’s a quite broad range of strategies, but aligned with the strategy that we have outlined. And over time, we will make sure that the seed book continues to support the strategy as we have done in the past.
Amit Jagadeesh: Hi. Good morning. It’s Amit Jagadeesh from UBS.
Antoine Forterre: Good morning.
Amit Jagadeesh: On performance fee, you mentioned $50 million of performance fee you accrued in Jan ‘24. Could you provide any more color on the performance fee momentum in 2024? How do you see it progress to the rest of the year? And also has the strong – recently strong AHL performance led to capacity constraints?
Antoine Forterre: Should I take that?
Robyn Grew: Yes.
Antoine Forterre: I will bring in one question that’s from David on screen very similar already, but it’s the same theme. David asked, I am surprised to see only $50 million of performance fees for ‘24 accrues given how well some of your funds are better performed so far. Perhaps this is because it’s as of the end of January and performance accelerate through then, can you help us understand this a little better? David answered his question very well. So, the number is as of the end of January. Obviously, the remaining of February was positive as well. We don’t comment specifically on expected performance fees or forecast performance fees. But I will guide you to the data pack and I will give you information on high watermark and you might recall that a certain number of funds, so AHL Alpha for instance, I mentioned crystallized at the end of December. Funds like AHL Evolution crystallized at the end of June on average. And then we have other more discretionary funds that were crystallized at the end of December. As of the end of December, last December, we had $27 million at high watermark, another $21 million within 5%. And on average, performance has been positive. Since then I will let you do the modeling work.
Robyn Grew: Any questions that we haven’t covered?
Antoine Forterre: Nothing on the screen, now is the time.
Robert Sage: Thank you. It’s Robert Sage from Peel Hunt. I am curious about all of these sorts of new initiatives and all of the various growth opportunities, which seems to be extremely extensive. And I also note that your comment with respect to Varagon are saying you are not going to hang around to wait for the next bit of M&A to come along in order to exploit some of these opportunities. So, within that context, I was wondering whether you could talk a little bit in terms of your hiring plans for 2024. Should we expect to see sort of lots of new teams being sort of signed up and sort of coming across into the group?
Robyn Grew: Thank you. In simple terms, we are – have always been very flexible in the way that we can deploy our existing resources. And those resources in a broader sense, so people and technology and our capability and budget. And we feel very confident that the goals that I have set out, which are multiyear, let’s also be clear, are multiyear are certainly within our reach today. We are always looking for new talent. We have always said we are looking for new capabilities. And if we find the right capability in any format, we will take advantage of that.
Antoine Forterre: And in modeling terms, we are guiding on $425 million for this year in fixed costs. That incorporates planned investments. And you might recall that we have made investments for the last few years in areas such as execution technology, which actually supports some initiatives that Robyn describes. So, the plans that we have reflect our expectation of hiring that we will make. But we will continue to hire to make sure we grow. We have got a question, follow-up actually, to the question Michael asked. Are there any strategies you feel are pushing capacity issues and will need to be closed? So, we always remain diligent on capacity. Capacity is important in order to protect the performance that we deliver for clients. We have a number of programs that are capacity managed, AHL Evolution being one in particular. But those programs have grown over time through R&D, increased liquidity in markets, adding new markets as well. So, protecting capacity is important. We will continue to do so. We have managed to grow. The plans that we have and the growth prospects that we have rely on ample capacity in our programs currently.
Robyn Grew: Nothing to add.
Antoine Forterre: Another question here, I am assuming from Nishant Kumar. You mentioned work on meet frequency trading strategies and seeing them. Can you please talk a bit more on it? Is it new? And when do you plan to launch it for clients?
Robyn Grew: So, it’s not new actually. It’s a strategy that’s at about $3 billion today. It’s just now – it’s been a proof case for us. In fact, we were able to deploy $750 million of capacity in it in three months last year. It’s a proved case that high-quality, high-performing content is in high demand from our clients. And so as I have said earlier, the point for focus on mid-frequency is that we have it. We now are going to invest further to accelerate its capability and capacity so that clients can invest.
Unidentified Analyst: Thank you. I will take the opportunity to ask one more question. On the sort of brand consolidation for GLG, what are you trying to achieve here with sort of this combination within Man?
Robyn Grew: In simple terms, it’s about demonstrating that we are more than just single brands. When you start having client meetings and you have to spend 10 minutes explaining the sub-brands, it becomes a less efficient use of time. And we are more of that. So, somebody who came from GLG, I think I can talk to this. We were – that brand was a phenomenal brand in its own time, but we are more than that. And this is about demonstrating the breadth that we have within our discretionary capability, the investment we are going to continue to make in that capability. And it’s an easier signpost for both clients and for shareholders to understand what we do, discretionary systematic solutions.
Antoine Forterre: Michael?
Michael Sanderson: I am going to take the second chance as well.
Robyn Grew: I haven’t noticed this, continue.
Michael Sanderson: So, the other piece of the interesting, the expansion in the wealth market and looking just right over there, what is – first of all I guess the strategies you have got at the moment presumably are all sufficient because you already have exposure there. But as you expand into new geographies, new marketplaces, is there I guess a structuring expansion will be required? Is there going to be a differential product that’s required in order to sort of take advantage of those opportunities?
Robyn Grew: So, as you rightly say, we are already working with platforms. We are not in our plans thinking of somehow working directly in the wealth space, which would require a complete change in the way that Man operates. So, it will be platform-led. We already have content that is capable of being placed on those platforms. But we will also always work with platforms to provide them with solutions outside of that that is just a fund if they want more than that for their clients. And I think as we talk to banks particularly, we can see that demand, that sophistication, being more required and needed and wanted than ever before. And that’s something which we are scaled on the operating platform of Man Group is more than able to support.
Antoine Forterre: Nothing more on screen.
Robyn Grew: Thank you very much. Thank you very much everybody. Thank you for joining us.
Antoine Forterre: Thank you for coming this morning. Thank you for joining us.